Operator: Good afternoon. And welcome to Zuora Second Quarter Fiscal 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would like to turn the conference over to your host, Ms. Luana Wolk, Head of Investor Relations for introductory remarks.
Luana Wolk: Thank you. Good afternoon. And welcome to Zuora’s second quarter fiscal 2022 earnings conference call. Joining me today are Tien Tzuo, Zuora’s Founder and Chief Executive Officer; and Todd McElhatton, Zuora’s Chief Finance Officer. We will also have Robbie Traube, our Chief Revenue Officer joining the Q&A session. The purpose of today’s call is for us to review our second quarter results and provide our financial outlook for the upcoming third quarter and fiscal 2022. Some of our discussion and responses today will include forward-looking statements, so as a reminder, our actual results could differ materially as a result of several factors. You can find information regarding those risk factors in the earnings release we issued today and our most recent filings with the SEC. And finally, we will be referring to several non-GAAP financial measures today and reconciliations to related GAAP measures are included in our earnings release. For a copy of our earnings release, links to our SEC filings, a replay of today’s call or to learn more about Zuora, please visit our Investor Relations website at investor.zuora.com. And with that, I will turn it over to Tien.
Tien Tzuo: Thank you, Luana, and thank you all for joining Zuora’s second quarter fiscal 2022 earnings call. To start, let me say that I’m very pleased with our Q2 results. We once again delivered a strong quarter, exceeding the guidance we provided across our operating metrics, including total revenue, subscription revenue and non-GAAP loss from operations. The results of this quarter show that the innovations that we have created across our four product lines are delivering more value to our customers. And as a result, this quarter, we were able to deliver $1 based retention rate of 108% representing a 9 point increase year-over-year and a 5 point uptick from last quarter. Now we set a goal at the start of the year to exceed 105% dollar base retention rate by the end of our fiscal year and I am happy to report that we exceeded that goal two quarters early. We believe the strategy we laid out earlier this year at our Investor Day is working. First, both disruptors and incumbents alike, are continue to grow their subscription businesses and they are coming to Zuora for our technology, expertise and ecosystem. And second, our multi-product strategy with Zuora Billing, Zuora Revenue and Zuora Collect, all built on the Zuora Central platform. This strategy continues to enable a lean and expand motion, executed, but what I believe is a truly unique go-to-market organization that emphasizes long-term strategic relationships with the best companies in the world. In short, I am happy with our overall momentum as we continue to execute against the fiscal goals that we announced at the beginning of the year. Let me dive into the highlights from the quarter. Market trends we identified at the start of the year are continuing to play out. Companies are increasingly waking up to the power of the subscription model and we’re seeing both fast growing disruptors and large enterprises and companies investing in recurring revenue business models. In both cases, these companies are looking for guidance on how to navigate their subscription journey ahead and they’re turning to Zuora. Let’s take a disruptor. At our Investor Day earlier this year, we share the story of Zoom of how we powered their corporate growth over the last 18 months. Well, this quarter, a large enterprise marketing SaaS leader reported over 200% increase in annual recurring revenue from just two years ago and now they are invoicing more than $1 billion in revenue across 125,000 subscribers all through Zuora Billing. We’ve been working with them since before they went public and it’s our system that’s enable them to launch new offerings, evolve to a multi-product company and implement the more complex monetization models that come with that level of sophistication. On the other side, let’s look at an incumbent who’s pivoting to the subscription economy. This quarter, we signed the 100-year old robotics company, with over $20 billion in revenue, who is rolling out a subscription-based marketplace to turn their IoT investments into new revenue streams. Now, realizing their existing systems were not built for this new model, they chose Zuora to help them execute the strategy across the 100 plus countries that they operate in. We’re also seeing companies come to Zuora after initially selecting other solutions that simply could not deliver. This quarter, we brought on a disruptor in the IT security space, who originally signed with competitive solution from a CRM vendor. Then they found themselves stuck in a never ending implementation cycle until they switched to Zuora. Now with our platform, they will be able to manage the entire subscription monetization process and they have the agility they need to rollout new products and pricing offers and to easily sign up new customers across multiple acquisition channels. Now, these are just a few examples, but we believe these fast scaling disruptors and enterprise incumbents make up the sweet spot of the subscription economy and our strategy to focus here is driving the business results that we delivered in Q2. Now turning to product, at the start of the year, we announced a multi-product land and expand strategy designed to give us multiple paths to growth. On the land side, a few years ago, our Zuora Billing solution was our only beachhead. Now fast forward to today. We are now seeing multiple Zuora product beachheads, including of course, the Zuora Revenue. For example, in Q2, there is a company that makes smart cutting machines, who are seeing tremendous growth over the past year. And in preparation for their IPO, they turn to Zuora Revenue to automate the complexities of revenue recognition to help them become compliant with the latest accounting rules and to help ensure that they were set up for a digital scale for years to come. And so in Q2, the number of customers with ACV over $100,000 or more continue to grow and we closed the quarter at 694 within this cohort, up 17 sequentially. This customer group represents 93% of our business and simultaneously during the quarter ACV per customer reached a new quarterly high. On the expense side, we’re seeing a record breaking upsell numbers. For example, iRobot initially turned to Zuora Billing back in 2020 to iterate quickly and test different subscription models for a new service iRobot Select. Now as these pilots progressed and the subscriber base expanded, the company then invested in Zuora Collect in an effort to reduce involuntary churn from failed credit card payments. As another example, recently a leader in application performance management, a public company now longtime Zuora Billing customer, they moved completely to a usage-based model. This added tremendous complexity to their revenue recognition. And so in Q2, they’ve now added Zuora Revenue to create a complete order to revenue solution. Now what’s enabling these upsell and cross-sell motions is the tight, tight interlock between our multi-product strategy and our go-to-market approach. And in Q2, this approach that we highlighted at Investor Day continued to demonstrate tremendous progress. In addition to lowering churn, expanding sales and allowing us to hit our full year dollar base retention rates two quarters early, our field organization continues to successfully take these customers live. During the quarter, we saw our second highest quarterly ACV go lives, including with HERE Technologies, Monster Worldwide and Xerox. And as we said, our go-to-market strategy is also about driving scale in our own operations and accelerating growth by cultivating a network of global system integrators and this strategy continue to show traction and deliver results in Q2. First, our SI partners are contributing to our growth. In Q2 over three quarters of our new business logos were influenced by an SI partner. Now these deals are also coming in with a higher average selling price, as we saw new customers like Daihatsu, Thales and Rev.com, select Zuora. Thanks to the successful collaboration with our partners. Second, our SI partners are scaling our ability to take our customers live. This quarter over 40% of customer go-live actually involved a system integrator partner. And third, and finally we’re seeing our partners increase the investment they’re making in Zuora. In Q2 we saw high double-digit growth of the number of certified consultants on a quarter-over-quarter basis, demonstrating that our partners are investing and increasing their commitment to Zuora, which sets us up for future growth. In closing, the strategy that we laid out at the start of the year continues to deliver according to expectations. This is the story of Q2. We’re seeing both fast scaling disruptors and enterprise incumbents turn to us. Our multi-product and land/expand strategy helped us reach our full year target for dollar base retention rates two quarters ahead of planning. Investments we made in our go-to-market are helping us successfully take our customers live and to align with our SI partners in order to accelerate growth and scale our deployment capabilities. And finally, we’re seeing that, in addition to our technology, our unique expertise in the market is why companies continue to turn to us to help guide them on their journey to succeed in the subscription economy. With that, I’ll turn the call over to Todd to review our financial performance.
Todd McElhatton: Thank you, Tien, and thanks everyone for joining us today. I’ll be providing an overview of our Q2 results and discussing our financial outlook for the third quarter and full year. As a reminder, today’s discussion includes non-GAAP financial measures. Beginning this quarter, we updated our method for calculating certain non-GAAP financial measures related to internal use software. You can find the details in today’s press release, which includes a reconciliation table of selected GAAP to non-GAAP measures that reflect the adjustments made to both our current and prior year financial results. Our performance in Q2 was strong across our key financial metrics. We exceeded expectations in subscription revenue, total revenue, non-GAAP operating loss and free cash flow. Q2 was highlighted by multi-product deals with both disruptors and incumbents, strong go-to-market execution and great contribution from our SI partners. We’ve built a strong foundation for long-term growth and Q2 brought incremental progress towards our goals. Looking ahead, we’ll continue to focus on ARR growth, dollar base retention and free cash flow. So let me take you through some of the key metrics this quarter. In Q2, our dollar base retention rate was 108%, a significant improvement from 99% in the prior year, as we left the higher churn levels that we experienced in Q2 of last year, along with our focus on retention and upsell. Looking at our customers at or over $100,000 in ACV, we ended with 694 customers. This group of customers represents 93% of our business. We close two deals with ACV of $500,000 and above, the same number as a year ago. As Tien noted, during Q2 we reach new quarterly record for ACV per customer. Turning to transaction volume, our systems processed $18 billion of volume in the quarter, representing 42% growth year-over-year. While process transaction volume is helpful in understanding how much of our customers business is running on our platform. It does not track linearly with quarterly revenue as customer gains efficiencies as they scale. Let me review our Q2 financial results. Subscription revenue grew 23% year-over-year to $71.5 million and represented 83% of total revenue. Note, Q2 subscription revenue included some one-time non recurring benefits totaling $1.1 million, which were not reflected in our prior Q2 guidance. This was primarily related to revenue we recognize upfront, which was not anticipated in the quarter. Professional services revenue decreased 10% year-over-year to $15 million. As Tien mentioned, we continue to make progress on our strategy to ship more services to our system integrator partners and we view this continue decline service revenue as a positive trend. Total revenue close at $86.5 million in Q2 and grew 15% year-over-year. As previously mentioned, our overall revenue growth was impacted by our strategy to reduce the mix of our direct professional services towards our SI partners. This not only enhances our go-to-market opportunity, but also benefits our overall gross margin. As a result of our success in driving more professional services to our SI partners, non-GAAP blended gross margin was 64%, an improvement approximately 90 basis points over the prior year. Non-GAAP subscription gross margin was 79%, the same as Q2 in the prior year. During Q2, we made the decision to accelerate the move out of our data center to a cloud-hosted service, which will enable us to operate more efficiently and offer us additional capacity as we scale over the long-term. In the short-term we will occur additional hosting expenses to make this transition. During the second quarter we recognized $0.6 million of additional expense and expect to incur $2.8 million expense in our cost of goods sold during the second half of this fiscal year. Non-GAAP services gross margin was negative 7%, driven by investment in training our partners and one-time employee related benefits. Our goal is to continue to run services at or near breakeven for the near future, as we further engaged with our SI partners. Non-GAAP operating loss was $3.9 million in the quarter, compared to $0.6 million in the prior year adjusted for the non-GAAP accounting changes mentioned earlier. This was driven by additional investments in sales, marketing and R&D. This resulted in non-GAAP operating margin of negative 4.6%, a decreased from breakeven in Q2 of last year. As I shared with you on our last earnings call, operating margins were roughly flat this fiscal year as we absorb expenses, which weren’t included in last year and accelerate investments. Now looking at ARR and free cash flow, earlier this year, we introduced a new KPIs to help investors track our progress, including ARR growth. I’m happy to report that in Q2 ARR grew 18% year-over-year. This was ahead of our target of 17% ARR growth for the fiscal year. This was driven by strong upsell performance, as well as new business. We continue to focus on our objective to reach mid-term ARR growth of 25% to 30%. Free cash flow was negative $4.4 million, driven by the seasonality of our business and the timing of our employee stock purchase plan. Total CapEx for the quarter was $1.7 billion. Turning to the balance sheet, we ended the quarter with $201 million in cash and cash equivalents, a $3.5 million increase over the prior quarter. We continue to be prudent with spend and are maintaining a healthy cash position to manage the business. Our fully diluted share count at the end of the quarter was approximately 143.3 million shares using the treasury stock method. In Q2, our execution drove improved performance. We continue to be disciplined in our investments, targeting enterprise customers, focusing on the land and expand motion and working with SI partners. Now let’s turn to our financial outlook, as we shared with you in the last call, this is a year we plan to accelerate our investments in go-to-market and product development, while absorbing costs that were not in a run rate last year. The updated guidance includes the expenses for the data center migration in the second half that I mentioned earlier. We continue to expect to be free cash flow positive for the full year. For fiscal Q3 we currently expect total revenue of $86 million to $87 million, subscription revenue of $71 million to $72 million, non-GAAP operating loss of negative $3.5 million to negative $2.5 million, non-GAAP net loss per share of minus $0.03 to minus $0.02, assuming weighted average shares outstanding of approximately 125.2 million. For the full year, we are raising our revenue outlook. We currently expect total revenue of $340 million to $342 million, subscription revenue of $280 million to $282 million, non-GAAP operating loss of minus $13 million to minus $11 million, non-GAAP net loss per share of minus $0.13 to minus $0.11, assuming a weighted average shares outstanding of approximately 124.3 million. In closing, I’m very pleased with our performance in Q2. We’ve laid a strong foundation to achieve Zuora’s long-term objectives and are continuing our cadence of execution. Next, we will take your questions. Operator, please open the call for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Brent Thill from Jefferies. Your line is open.
Luv Sodha: Hi, guys. This is Luv Sodha from Jefferies on for Brent Thill. Congrats on a nice quarter. I had a couple questions. One was, I know, Tien, you mentioned that, you spoke a little bit about your win rates improving and that you’re winning against some bigger competitors within the space. Could you maybe give us some context as to -- as you see the opportunity going forward? Is it coming from win rates against competitors improving or there is more greenfield as we think about it?
Tien Tzuo: Well, Luv, it’s a great question, I would say, when you look at where our business is coming from, it’s certainly coming from both areas, right? It’s coming from companies that have tried other solutions that it doesn’t work and it’s also coming from a brand new situations. Look, I will say this, right, billing is not in this new world a commodity, in this new world companies are realizing, especially after last year, that their customers really expect something completely different. They expect to service. They expect different ways of paying for the service. They want a very different subscriber experience like Instagram. So in the Instacart experience that we’re all now used to and you really need a vendor and a provider, and a technology solution from a company that’s just focused 100% on this space, and companies are realizing that that to save money or to buy from a vendor that’s not really focused on this area, is not the way that they gain competitive advantage. And Robbie, what would you say given what you’re seeing?
Robbie Traube: Yeah. It’s just very interesting boy. Thank you, Tien. So, look, as the same customers also on the one hand become more sophisticated. Now we’re seeing the other solutions just do not meet their customers’ expectations. I was speaking to Zuora senior management of the company that Tien referred to and they’re looking at it. They want capabilities out of the box, right? What they do not want in their words, they do not want a lifetime of customizations and that is also why we’re seeing these companies come to Zuora.
Luv Sodha: Got it. A quick follow up if I may, for Todd or Tien, on the net retention rate improvement, could you give us some context as to how much of it was attributed the churn levels improving versus a year ago and how much of it was upsell versus and cross-sells? Thank you.
Tien Tzuo: So really balanced, we did a great job. We talked about the fact that we’ve made significant investor -- investments and customer success, actual churn was down 50% year-over-year, a little more than 50% year-over-year. As a percent of ARR, it’s one of the best levels that we’ve seen again in about 10 quarters, 12 quarters. So, we’ve done a really nice job on retaining the customers. But then again, we had a record quarter on upsells and that’s, again, continuing to be very balanced. Typically, if you went back 12 months, 18 months ago, we were much more reliant on volume. Today you see it much more balanced, new products that were coming out, the multi-product strategy is absolutely resonating with customers. So feel really good about that dollar based retention being a balanced performance coming from both retention and upsells and the upsells being across the portfolio.
Luv Sodha: Great. Thank you. I will pass it through.
Operator: Thank you. And your next question comes from the line of Joseph Vafi from Canaccord. Your line is open.
Joseph Vafi: Hey, guys. Good afternoon and great to see the continued up tempo cadence in the business here in the quarter. So congrats on that. So just one more on…
Tien Tzuo: Thank you.
Joseph Vafi: … on net retention, which was great this quarter. And I know you said, you had a record quarter on upsell, just wondering how that kind of upsell pipeline looks from here or how we should think about maybe net retention for the rest of the year? And then I have a quick follow up.
Todd McElhatton: So, Joe, first of all, I think, you remember, we talked about at Analyst Day that we have an opportunity of about $450 million within our install base. So we feel there’s still a lot of runway left customers are have a strong interest in new products that are coming out. We see a lot of usage as you saw today on the platform. So we feel really good about what the future looks like for upsell. So from that standpoint, we feel good. We hit 105% plus. We are in that plus range and we are going to keep the guidance at that. From that standpoint, we certainly don’t see ourselves falling backwards. But I’m going to be prudent and we’ll update you next quarter as we progress.
Joseph Vafi: Sure. Fair enough. Thank, Todd. And then just on -- I just be curious on, I mean, you’re signing both, I think, the way you classify them as incumbents and disruptors. And channel that’s coming from them relative to your SI, you see, are the SI is bringing you, I would imagine more of the incumbents than as they’re moving with their digital transformations or are they also bringing you some of the newer disruptors that are actually, perhaps, becoming SI customers themselves? Thanks a lot, guys.
Todd McElhatton: Yeah. I would surely say that it’s both, especially when you look at some of the disruptors. They’re really fast growing, and you guys attract us as well, there’s a ton of companies that are coming up, ready and primed for the public markets. And when you reach that $50 million, $100 million, $200 million inflection point as a fast growing disruptor, you know you need help, right? You’ve got billing challenges, you’ve got compliance challenges, you’ve got ASC 606 challenges and a lot of them are reaching out to the PwC, the Ewise, the Deloitte of the world and that’s where we really do intersect with them. Robbie, any color that you want to add?
Robbie Traube: Yeah. I think, as you say, there’s a balance there, right? That we’re finding from our size, it’s both sort of source, pipeline and influence pipeline. I mean, you have seen, you know they’re seeing so much digital transformation in the space. So there’s an awful lot where they’re helping that digital transformation. And at the same time, as people go towards more towards public offerings or whatever else, they’re having a lot of help from those SIs. So we’re seeing a very much, both in the disruptors and in the incumbents.
Joseph Vafi: Thanks very much, guys.
Operator: Thank you. Your next question comes from the line of Andrew DeGasperi from Berenberg. Your line is open.
Andrew DeGasperi: Thanks for taking my question. First, it was interesting to find two manufactures among the new customer logos you required. I was just wondering if maybe you can elaborate like the sales motion with those type of customers and maybe elaborate as well as what kind of products were they taking at a day, do they take any beyond billing? Was it -- was there some of the other strategic products that you have as well?
Tien Tzuo: Yeah. You probably know from past conversations, Andrew, that I’m a huge -- I’m very bullish on the manufacturing sector. I mean, if you really even pull back, look at 50 years, 60 years, 70 years, people have a sense the manufacturing sector is starting to decline. And we’re really seeing a major reversal of that and it’s all because of IoT. And when every single physical product is connected to the internet, the same revolution that you found in the software sector, right, where software became Software-as-a-Service, the same revolution you found in, say, entertainment and media. It’s happening in the physical products world. And so the manufacturing companies we work with. The common threat is they spent the last four years, five years, six years investing in an IoT infrastructure, connecting all their products to the internet and now their imagination is just bursting with new revenue streams that they could get. And some of these could be initial launches even, right, we’re able to help them launch a brand new internet IoT driven service in 90 days or less and grow from there. I mean, that’s really one of the stories, say, the story caterpillar comes to mind in the work that we’ve done. And then some of them are actually, they’ve had a service out there for some time. It’s going really, really well. Last year, they’re seeing that these are the parts of their business, their revenue streams that are growing the fastest and they’re doubling down on those areas and a company like Philips, for example, would come to mind, as an example there.
Andrew DeGasperi: That’s helpful. And then on your certified partner count the growth looks pretty impressive. I just wondering, should we use that as a metric to cut as or as a derivative of your growth in your strategic partnerships? Would you…
Tien Tzuo: No. I don’t think I would do that.
Andrew DeGasperi: Okay. Thank you.
Tien Tzuo: Thanks, Andrew.
Operator: Thank you. And your last question comes from the line of Scott Berg from Needham. Your line is open, sir.
Scott Berg: Hi, everyone. Congrats on the nice numbers and thanks for taking my questions. I guess its questions probably for Tien or Robbie, a lot of questions on upsell and churn, but how about the kind of the net new customer sales in the quarter and the pipeline? As you look at those deals in the three beachheads, Tien, that you mentioned that you can land with today? Are those deals still highly skewed towards the billing side of the equation, which I think we probably all suspect or are you seeing nice traction with initial lands on the other two modules as well?
Tien Tzuo: Yeah. Yeah. So what I tried to highlight in the call is, we’re definitely seeing new lands with the other modules and the Zuora Revenue was one of the examples that we gave. And overall, so we’re pretty happy. We’re pretty happy with the new land motion. We’re pretty happy with the new business. If you look at it, the number of customers continues to tick up quarter-over-quarter. And at the same time, right, ACV per customer on this deal, the deal sizes are getting bigger as well, which is a really positive sign. And so that part of the business continues to work well. And we’re really happy with just with the blended aspect of the business, right? At the end of the day, these aren’t two businesses. These are new customers coming in. And we want to make sure that we continue to do that and continue to have a fantastic path for growing our value and footprint within those accounts and translating that into additional revenue.
Scott Berg: Got it. Helpful. And then from a firewall perspective, Todd, you’ve certainly highlighted the mix of services moving to partners the last couple quarters and I think we understand that the general progression there? But where should services fall out either as a percentage of revenue or on a -- maybe an absolute basis here once that, once that move is done and then I assume we probably work our way a little bit higher from there, just in relation to the national growth of the company.
Todd McElhatton: So I think when we talked at Analyst Day, we said, we thought it would be around 15%. It may bounce a couple points one way or another. We’ll make sure we do the right things for our customers. But I think the SI partners that we see coming in, they’re training up lots of people. They’re a great channel for us and we’re more than happy for them to take on that business.
Scott Berg: Okay. That’s all I have. Congrats on the good quarter again.
Todd McElhatton: Hey. Thanks again, Scott.
Tien Tzuo: Thanks, Scott.
Operator: Thank you. I’m showing no further question at this time. I would like to turn the conference back to our CEO, Mr. Tien Tzuo for additional -- any additional remarks. Sir?
Tien Tzuo: Great. Thank you. Thank you. Well, before I close it out, I just wanted to thank all our ZUOs, their innovations, their contribution and their continued execution. These are what really makes us who we are. Our people are what makes an incredible place and I’m incredibly proud of what we accomplished together in Q2. It is clear from our dollar base retention performance, that our land and expand enterprise strategy is working. Our products are resonating with our customers. Our ARR growth remains strong and a subscription economy continues to have a lot of room for upside. We feel well position and positive about the future based on our overall momentum this quarter and we feel good about where we are. Thank you for joining us today.
Operator: Thank you, presenters. Ladies and gentlemen, this concludes today’s conference call. Thank you all for joining. You may now all disconnect.